Henrik Andersen: Good morning, and welcome to our presentation of our Full Year 2025, Q4, of course, in '25, and as always, as this full year presentation, also a short strategy update section. For us, 2025, a year of evidence in both important milestone in our strategy value through performance, but also here, it's absolutely timely to say proper thank you to our customers, to our partners, shareholders and colleagues. So today, both shareholders and colleagues will see a reward from financial year 2025 in the form of a proposed dividend, share buyback, and also for our colleagues around the world, a very well-deserved incentive bonus payout. I also just want to here take the opportunity to just point to the picture. As you can see, a nice weather day in the North Sea, where we are constructing one of our Offshore turbines for He Dreiht. So really appreciative of seeing that. With that, I would like to go to key highlights for the year. So revenue of the year of EUR 18.8 billion and an EBIT margin of 5.7%. Revenue all-time high from growth in both segments and profitability achieved in the upper and, of course, narrowed part of our outlook from Q3. The service EBIT of EUR 626 million delivered on a revised service EBIT guidance. However, the outcome fell short of our performance targets and also internal expectations, as you can see also in our remuneration report. Order intake of 16.3 gigawatts, leading to a record high order backlog. Its higher Onshore activity, especially in EMEA, was offset by lower Offshore orders in the year. The manufacturing ramp-up leading to extra costs and investments, as we were speaking to throughout the year. Progress is made and being made on the persistent challenges, and we expect further improvements here in 2026. We are returning value to our shareholders. A dividend of DKK 0.74 per share is proposed, and a share buyback of EUR 150 million will be initiated from tomorrow. The outlook for 2026, revenue expected between EUR 20 billion to EUR 22 billion, EBIT margin before special items expected between 6% to 8%. And as always, you will hear and see more details of that later in the presentation. So now I'll go to the environment we work in. Wind energy key to affordability, security and sustainability. This is the key factors of our narrative for wind. And not surprisingly, it works in more than 80 countries across the world, and it's delivering a high generation of electricity from now more than 200 gigawatt installed. When we look at the global environment, inflation, raw materials, transport costs are stable. But of course, with some degree of variability to tariff, as everyone appreciates, that will increase cost over time. It will come towards and through the value chain, and it will come to the energy and electricity price over time. The ongoing geopolitical and trade volatility leading to realization, that's not new. It's just a continuation of the trends we have been seeing over the previous years. And I think it's only been accelerated further by the ongoing discussions on the geopolitical side. On the market environment, heightening focus on energy security and affordability, it almost is the one thing that are being discussed in every leadership political as business leadership across the world. The grid investment prioritized in key markets, it's also prioritized and even now announced as part of the EU plan for grid expansion across Europe. On the permitting side, it's improving in some markets, but overall permitting auctions and market design are still challenging or still being changed or picked up. Two of the really strong examples of positive development is AR7 Offshore in the U.K., led by Ed Miliband, which is really showing the leadership required. And then on the Onshore in Germany, I will say we will have years where we are now in excess of 10 gigawatt Onshore, again, a testament to if leadership, both political and business, put their minds to it, then it will also get done. On the project level, strong project execution, some regional disruptions to supply chain always at risk, but I'll also here use the opportunity to thank our colleagues. It has been an exceptionally good execution in 2025 and the best execution we have seen in the last 5 years on our projects when it comes to our often discussed pre and post calc on the project. So a huge thank you to everyone here who has contributed to '25. With that, I'll go to the Power Solutions slide. So strong finish to 2025. The order intake of 6.5 gigawatts in the quarter, driven by strong momentum in Onshore across all regions and good activity in Offshore, such as the 390-megawatt Shinan-Ui project in Korea. The 6.5 gigawatt in the quarter also, therefore, hints and indicates an unannounced order intake of 1.1 gigawatt, which again supports the strong momentum that sits in and around the whole Onshore part. The largest order in the quarter was 828-megawatt Onshore project in Brazil with a long-standing partner and friend, Casa dos Ventos, marking the first major deal in Brazil's wind market since 2023. ASP on new orders was EUR 1.01 million per megawatt, like the prior quarter. The ASP reflects a good mix of project scope, geography and type. The overall pricing environment remains stable and positive for our continuous financial performance and progress. The order backlog in Power Solutions increased by EUR 1.6 billion compared to 1 year ago to a record high of EUR 33.2 billion. It's the highest ever. You can see the breakdown of both geography and quarter-on-quarter comparison to the right. With that, I'll go to the Service business. So heading here is that we are halfway through our Service recovery plan. When we look at the highlights for the Service business in 2025, I think the Service order backlog increased to EUR 38.7 billion from EUR 36.8 billion a year ago despite EUR 1.9 billion headwind from foreign exchange rate movements in the year. The Service business reached 161 gigawatts under service. That's an increase of 2 gigawatt compared to Q3, as healthy additions in the fourth quarter outweighed expiries and deselection as part of the ongoing commercial reset. The first year of the Service recovery plan has been completed. We have achieved better operational discipline during 2025, but we have not yet finished and the plan continues throughout 2026. It remains our strategic priority to drive operational excellence, cost out and improve cash flow and with full attention and support across all of Vestas and the full value chain of Vestas. I would also say, at year-end, there's no doubt that across Vestas, both about the plan and expectations, that is fully aligned and also fully understood. I will talk more to it when we get to the strategy overview later in the strategy section. You can see the breakdown here to the right. So the service order backlog, EUR 38.7 billion, of which EUR 33 billion is Onshore, gigawatt under active service contract, 161 gigawatt versus 152 from Onshore. And then we have an average year's contract duration of 11 years. With that, I'll go to the Vestas Development part. And I think this is, in short, it is a business we talk about, and it's also a business that we often give a quarterly update on. But year '25 was very much a year that also characterized with the heading "Revised Organizational Structure as part of the Operating Model Reset". So it was a year of simplification and also a year of refocusing the development business. So in Q4 2025, Vestas Development generated 102 megawatts of order intake from Argentina. At the end of Q4, Vestas' pipeline of Development projects amounted to 28 gigawatt with Australia, the U.S. and Brazil holding the largest opportunities. As part of the Operating Model Reset, we have implemented a leaner organizational structure with simpler governance to benefit from market trends and ensure traction with key projects. Ultimately, the goal of Vestas Development is to develop quality projects to the benefit for our customers and very close partners, thereby contributing meaningfully to the Vestas Group EBIT over time and quarter-on-quarter. Then I will go to Sustainability. And here, positively record high greenhouse gas emissions avoided. If we look at Vestas turbines produced and shipped in 2025, are expected to avoid a record of 463 million tonnes of greenhouse gas emissions over the course of their lifetime. Undoubtedly, this is Vestas' main contribution to sustainable energy system. And maybe just put that a bit in perspective. The whole emission from Spain in a year is approximately 250 million tonnes. So we are sort of beating that with a factor 2, give and take. During 2025, we also supplied 22,000 tonnes of low-emission steel, driving significant emission reductions in those projects. The number of recordable injuries per million working hours, TRIR, remains unchanged at 2.7 in 2025 compared to 2024. Safety remains a top priority for us as we tirelessly work to improve our safety performance across our value chain. I'll also say here, no fatalities in 2025, and we can also see that the frequency of serious injuries have reduced and gone down over the year, which is a really pleasing trend of what we see across our many countries, but also across now 37,000 employees. I also encourage you to read our annual report. There is a very large section on CSRD. Some will say too much and too bureaucratic. We are one of them. But it also contains a lot of the emotions and passion that goes from us. You will also see, we don't no longer comment on Corporate Knights. We don't understand the changed rules and ways of potentially evaluating sustainability retroactively back in time. So therefore, we'll come back when we have chosen a new sensible partnership later in the year. With that, I think it's time to come to the financials, and what better year could be to have your debut of a full year, Jakob. So over to you.
Jakob Wegge-Larsen: Thank you, Henrik. And we start off with the full year 2025 income statement with a historic record high revenue and EBIT that landed within the narrowed outlook range. When we look at the highlights, in '25, revenue increased 9% year-on-year to a record high EUR 18.8 billion. The increase was primarily driven by a larger amount of megawatt delivered in Power Solutions. Revenue for the year were though affected by a 3% currency headwind. Gross profit landed at an all-time high of EUR 2.5 billion, and our EBIT margin before special items landed at 5.7% in the upper end of our narrowed outlook range and is an increase of 1.4 percentage points compared to last year and was driven by better profitability in both segments. Finally, on this slide, I want to highlight the ROCE that improved to 11.8% for the year, while EPS rose 60% to EUR 0.8. In terms of Q4, we see strong project execution in Onshore, offset by ramp-up cost and service. Revenue in the fourth quarter increased 2% compared to Q4 last year. The increase was driven by higher revenue in Power Solutions, offset by lower service revenue. EBIT margin before special items in the quarter was 9.3%, a decrease of 3.1 percentage points year-on-year. The development was primarily driven by ramp-up costs in Offshore, higher depreciations and lower Service revenue, offset by continued strong profitability and execution in Onshore. It's worth to note here on the slide that we incurred negative EUR 56 million of special items in the quarter. This is primarily relating to the Operating Model Reset, which, among others, led to a reduction of 900 positions. And therefore, the EUR 56 million entailed both redundancy costs, but also some noncash impairments of legacy assets, and Henrik will speak to this a little bit later in the presentation. Diving into the segment split, starting with Power Solutions, where we see double-digit profitability. In Power Solutions, the fourth quarter revenue increased by 7% year-on-year, driven by higher megawatt delivered in Offshore, while Onshore revenue was flat. The EBIT margin of 10% in Q4 is down year-on-year due to higher depreciations and ramp-up cost in Offshore, but offset by continued strong execution and profitability in Onshore. '25 was a back-end loaded year, and '26 is expected to follow a similar seasonal pattern. And of course, on the right on the slide here, you can see that was the same in '23 and '24. This is linked to what you all know, but let me just repeat it. It's the operational leverage, of course, where deliveries in the first half is mainly covering the fixed cost. And yes, '26 is expected to follow this as well. Moving to our Service segment. As Henrik mentioned, this is the first year of the Service recovery plan, and we completed that. In Service, the revenue decreased by 16% year-on-year, driven by a decrease in contract revenue and a lower level of transactional sales against an unusual strong Q4 last year. Service generated an EBIT of EUR 144 million in the quarter, equivalent to an EBIT margin of 14.4%, affected by extra costs at a few specific sites. For full year '25, we delivered on our revised EBIT guidance in service. However, as Henrik also mentioned, the overall outcome fell short of our internal performance targets. We continue to execute on the recovery plan to achieve our long-term ambitions, and Henrik will also speak to that in a little while in this presentation. Moving from the P&L into the balance sheet, starting with net working capital. Our working capital decreased in the quarter. It improved to negative EUR 3.1 billion in quarter 4, mainly related to an improvement in accounts payables and a continued focus around in the organization on improving our working capital. Compared to Q4 last year, we have seen an improvement of EUR 830 million in net working capital. This level, this development, I'm really, really positive about. While we can always improve, this is a strong and satisfactory level. And with that note, we move into the cash flow statement. We saw strong and good cash flows that resulted in further strengthening of our cash position. Our operating cash flow was EUR 1.3 billion in the quarter, a decline compared to Q4 in the prior year, mainly due to higher warranty consumptions as well as changes in the net working capital. Adjusted free cash flow was EUR 872 million in the quarter. For '25, we ended with a strong net cash position of EUR 1.2 billion, having actually, throughout the year, paid out dividends and also completed 2 share buybacks in 2025. This is a situation that I'm obviously also very positive about, and it shows the strength of our business model. And we have to thank both Henrik and me, the strong execution by all of the teams around the world in securing this strong end to the year for our cash flow. Moving to net investments in Q4. We are continuing investing for growth and competitiveness. Total net investments amounted to EUR 382 million in quarter 4, as expected, slightly down from Q4 last year. Compared to last year, investments have focused less on intangible investments such as research and development and is now primarily related to tangible investments such as transport equipment and tools as we enter '26 ready to execute a higher number of projects in Offshore. Total net investments for the year amounted to EUR 1.250 billion, in line with our outlook. And moving into the quality slide, where we also see a strong development year-on-year. The lost production factor improved now that the repairs of the sites mentioned in the recent quarters have been completed. Note that the LPF, the lost production factor, is measured over the last 12 months, and it will take some quarters before this effect is fully out. Warranty costs amounted to EUR 207 million in the quarter, corresponding to a 3.3% of revenue. Warranty consumption in Q4 was EUR 251 million, mainly due to finalization of the above-mentioned repairs. For the full year, warranty costs were 3.2% of revenue. And I want to highlight the lower right corner, where you can see that in 2022, we were at 6.4% of revenue. So we have halved that in '25, and it's now the lowest in 5 years. Then before handing back to Henrik, I want to end on my favorite slide, the capital structure slide. It is important for Henrik, for me, for team Vestas that Vestas remains resilient to economic fluctuations and respecting the volatility of the industry. And with this in mind, we have updated our capital allocation priorities. Henrik will speak to this a little bit later. But already on this slide, you can see we have changed the upper right corner, where we before talked about having a net interest-bearing debt to EBITDA before special items at maximum plus 1. We now also say we want to have it within the boundary of plus 1x to minus 1x. And the final comment on this slide will be that the net interest-bearing debt ended the year at minus 0.6x EBITDA. And we are, therefore, very pleased to propose a new buyback of EUR 150 million, so second quarter in a row, in addition to the dividend proposal of EUR 100 million. And with that, Henrik, back to you.
Henrik Andersen: Thank you, Jakob. And again, here, a solid end on what you call your favorite slide, I like that. When we then go into the strategy update, I will also try to point you a little bit back to much more information out of the annual report. But I think starting with really what it's all about, the wind energy value drivers. And as mentioned before, we just chose here to choose one of the things that happened just a few days ago in Hamburg, the North Sea Summit, 26th of January 2026, where European leaders got together to confirm how we can now tangible build out the Offshore wind resource in the North Sea. And I think one of the heads of state has said, it's an untapped energy source in what else is an energy deficit Europe, because we need to be more independent on that. So the energy affordability, the energy security and the energy sustainability are the headings and also what we see as the main drivers of the growth and the build-out, not only in Europe, but across the world of wind. I think on the energy affordability, when you look at it, wind energy is cost competitive and also fast to deploy. And the fast to deploy has, in many societies today, become a much more sought after factor in this. When you need to build something, whether it's the demand for the energy or the electricity, as factories or build-out capacity for the society because the electrification is happening or it's for data centers, it's the same underlying positive trend. On the energy security, the world has become, in some ways, much more complex, but also in some ways, more simple, because people want to be sure that they are in control over the critical infrastructure, whether that's energy, defense or telecom, it's exactly the same. So therefore, wind energy strengthened security through national decentralized power generation. We see that. We see that evidenced also in areas where it is conflicted, like, for instance, ultimately in Ukraine. And when you then go to the energy sustainability, we believe sustainability in everything we do, and we work tirelessly with that across both our Scope 1, 2 and 3 at Vestas. This is a low-carbon source of power. And whatever you believe in fact shows that the wind will continue in this planet also long after we have stopped presenting -- or at least I have stopped presenting quarterly of Vestas. So therefore, this works and it works in more than 80 countries, and it's a testament to how far the industry and the technology has developed. I will point you to Page 16 to 20 in our annual report, where you can see more about what we also expect in terms of growth rates, underlying positive trends in the markets. So I encourage you to take the time following. So what do we then say in terms of our global strategic priorities? The heading here, and you saw that we have used that throughout 2025 as well externally as internally value through performance. And when we look at our 7 priorities down here, there's no doubt that we also have become, as team Vestas, much more direct and more specific in what it means to drive quality cash or, for that matter, efficiency in it. I'll speak more of the efficiency in the coming slide, where we talk about Operating Model Reset, which is something that also hit home to us throughout 2025 and was needed to do something about. We have become more dedicated. And I think in some ways, Jakob, as much as it was your favorite slide on the capital structure, that is actually a reflection of all the activities and all the commitment that goes in and also the support from customers, especially from the Onshore execution this year, ramping up in the Offshore, and still doing the recovery in Service, but Service works really well and supports not only the business, but also our customers as key. When we look to the right side of this, towards the end of this decade, no doubt that our ambition is to be a global leader in sustainable energy solutions. I think we can tick a couple of boxes when we look at Onshore and Service. I think we are a strong pursuer in the Offshore, and we will probably remain that, but we are a good pursuer in terms of discipline and how we work and build with customers and the industry, and then not least in development, where, of course, as you heard me say, development will never be something where you will see it overtakes the whole purpose of what it is with Vestas. But we are in markets where we have projects we can support our customers and partners with. So therefore, as a global provider in more than 80 countries, we will remain also there as a good partner in early development to the benefit of our customers. With that, I will take a look into something which we probably haven't talked that much about, but what we call Operating Model Reset in Vestas. It started midyear last year. We've been speaking about it for some time, because the overall 2 drivers of making an Operating Model Reset is making Vestas more simple and also more customer focused. When you look down, it's anchored in the Vestas' strategy, of course, anything that is closer to customer is basically across all 7, but the efficiency part sits under the efficiency box. So therefore, operating model is having that drive and also requires that attention from everyone among our 37,000 colleagues across the world. When we look at our 4 focus areas for steering the outcomes, I think the first and foremost, it's listen to customers. Customers told us throughout the last year or 2 that in some ways, we have become too complex, too difficult to talk to. And sometimes that was too long from when you presented a potential need or solution to you could actually get the right answer or a committed answer from Vestas. That we picked up. Not all of it we liked when we went back, because if we look at some of our processes that also sat out facing to our customers, it took far too long. Some of the things is fair saying we had examples of both processes and the way we acted, where I will sort of say, even if you make your best, you couldn't invent something that was more complex than what we had in Vestas. So therefore, part of it was, first of all, stop/avoid being in denial. Then also, let alone. This is not something which the Executive Management Board of Vestas knew all the details of. So how do we actually get this through everyone's mind and therefore, becomes an integrated part of our culture and DNA, which it is not. The overall consequence of this is, you've seen first wave of it, that 900 positions were gone by the end of 2026 (sic) [ 2025 ], and it is fairly obvious that the rightsizing of Vestas is, of course, painful. But on the other hand, it's also needed. And therefore, it's not the last time you will hear, because the continuation of this is not a project way of thinking. This has to be a part of the DNA of being in Vestas. And therefore, we are not finished simplifying. We just started and scratched the surface of it. So this you will hear more about in the coming not only quarters, but hopefully also the coming years with much better examples to share. We've also said here, there are 3 work streams. And I think, Jakob, you touched a part of the financials. We also here had a special item for the first time, which relates to this very clearly, because it actually is an immediate return when you use those special items to do that. First one is ease of everyday. And this is what I call day-to-day. Very easy. If you onboard the group of colleagues, investors and say, give us what you find that is actually hindering you making an easier impact of value creation, then we had a catalog of hundreds of good ideas to improve that. That is one of the things where I just encourage everyone to sort of, common sense, make your decision. No one is forcing you to sit in a virtual meeting, double the time of what you expect it to. So if you have contributed what you need or you're not even contributing in the meeting, please leave the meeting. That's just one example. There are plenty more. When we look at the rightsizing, you see in the first one, I mentioned the 900. I wouldn't be surprised if that is a continuation with similar numbers for the coming year. And then the third box is really where the big prices sit, because that's where we tie the value chain together and where we shorten it. This is also the most challenging and probably, for a lot of us, a bit more disturbing part, because we got to somehow get back to, in customers, how do we get to a much faster response time and not use each other as an excuse for not answering proper and direct. So that's, I will say, for me personally, very, very engaging and a very, very motivating process to embark in. I didn't know where we would be when we came out of end of July and beginning of August. Today, I know that it's festering and anchoring much better in the organization. So really encouraged by where we are and also how this step change Vestas week-in and week-out. With that, I go to an area that is feeling some of the same measures and some of the same magnitude of change. So the Service recovery plan, we are entering the second year of our Service recovery plan. The headings are exactly the same, hasn't changed. Haven't discovered other areas we need to touch. So the strategic priorities for Service is the same. We need to deliver the operational recovery, the commercial reset and also ensure delivery of OnePlan initiatives. I think we can definitely say when we jump down to see the commercial reset, we have no longer a challenge of that we are getting things in or have gotten things in from a contractual side that is not playing to the strength of this. So very importantly, we have exited trim contracts with unacceptable terms. We're not finished with it. We also drive early renewal negotiations and, of course, strengthen the backlog health. And one of the things I will comment here on that where it was possible to have very disfavorable sculpting arrangements or phasing arrangement on the cash flow side of these contracts, that has per se also been stopped effectively. On the operational excellence, I will say for me, rewarding to see that it's understood, rewarding to see that we are executing on it. Not so rewarding is also to see some of it is a bit more sticky for our leadership and for our day-to-day teams to get it out. So therefore, the drive of operational excellence is one of the key, key areas of getting and keeping and potentially even increasing momentum, because now we have some of also the better examples to work with. So this leads to more global regional cost out and also, of course, reducing cost of unscheduled maintenance, both on frequency and others. That also means that by the end of this year, the net contract assets sits at EUR 1.168 billion. It's around 3% of the Service backlog. It's in good control, and we can also know, down to contracts, where that contract asset sits and of course, is being addressed ongoing as we speak. On the challenges side, I think the challenges remain grouped in the same. It's the unit cost, which means it's wage inflation, rising material cost indexations. Some will also add in there how tariffs and others are passed to the contract -- payment of the service contracts. The operational inefficiency, for me, this was probably disappointing to see, but somehow also expected that if a part of the business has not had the attention on a day-to-day basis that we expected, then this is the one that has been picked up at really speed. And then as the quality-related effect, you've seen it. Jakob talked really positively around how we are now seeing the quality improving. We are seeing the warranties coming down. And I always said, warranties are a bit of reflection together with LPF. So the good thing in here, we don't have exceptionally warranty and other component cases, which, of course, suddenly release also a constraint and a strain on the service business to a very large extent. So the repairs turbine stops comes now from a day-to-day normal operations and to a lesser extent of an LPF-related repair. So that will support the business. We don't and we can't yet predict the size of that positive. So therefore, we are also there pretty prudent in looking ahead for now the next or the last year in our recovery plan, because we don't run ahead of ourselves in looking at that. And then here in the bottom, you can see the development in the Service backlog. I will say here, in some ways and in some markets, we probably underestimated a little bit the strength of the partnerships we have had with our customers. And in some markets, we have also this multi-brand, which I have not talked too positively around for the last 6 quarters. We might end up having some gigawatts of multi-brand still remaining, but then the contract way of looking at multi-brands will be very much a part solution and a direct cost plus solution with our partners. We are helping running turbines of sometimes OEMs that disappeared years ago. With that, I will go to also one of the areas, Jakob, you already mentioned, which is the capital structure. And I think there's a couple of observations here. First of all, we feel that we are that far in our ramp, we are that far in our investment into Offshore that we can definitely see that the model we are scaling and working after works really well, which also means we see a lot more transparency when we look towards the end of this decade. That also have led to that we look now at our revised capital structure. We come out at a year now with the highest turnover in ever. We come out with an EBITDA of Vestas that is the highest ever due to both size and scale of what's working. And that have led us, also based on the feedback and exchanges we have had with you as our owners during 2025, to revise and look at our capital structure strategy going forward. That is described, if you want to read much more about it, in Page 21 and 22 in our annual report. But here it is that we will -- as the priorities here sit, we will continue investing in the business. Jakob just showed you the EUR 1.2 billion we have invested in '25, and we will invest approximately the same. But the underlying split of what we are investing in will be different in '26 compared to '25, because we are more investing now what is needed to ramp up the volume rather than the technology, or for that matter, the manufacturing facilities. So reinvest in the business, very important, and we'll continue doing that, among other things, virtual service tech and other stuff in the service business. So anything there we can do to make the business better. Make value-creating acquisitions. It's not something that has been that much on our mindset since '21 and '22, but we will continue measuring if there are adjacent areas or even within our areas where we can add to it either directly into our business areas or if it is of another nature, also use our Vestas Ventures to do some of those investments or acquisitions. Thirdly, we will, of course, look at maintaining the solid investment grade. We have now a long-standing partnership and understanding with Moody's. So therefore, we want to keep stable rating, and we want to keep working with a stable rating, which also means that when we look at our net interest-bearing debt to EBITDA, we aim for having that between minus 1 to plus 1, also meaning to you shareholders out there that when we are building a cash position, that cash position will be distributed back towards you over time. And I think testament is always better than claiming. So therefore, the last just 5 quarters mean there we have carried out three share buybacks. We don't like to do big things in that sense. We much rather have a frequent one and then being a one that also, therefore, supports the daily sort of trade in the share with our share buyback programs. And then we have also looked at what is the best way. So therefore, we've said, return at least 40% of our net profit through a combination of dividend and share buybacks. I mean, for many of our investor exchanges, in general, we will see that people probably prefer more share buys and therefore, less dividend. We follow that guidance very much. Therefore, when we have proposed here a dividend of EUR 100 million and a share buyback of EUR 150 million just following the release of the full year for '25, that sets sort of a good tone of also saying -- that doesn't mean that you can then immediately extrapolate that to the next 5 years and saying dividend will never be more than EUR 100 million, but we are just sort of saying it's probably the least effective way of distributing cash back. And therefore, of course, we will continue also doing the share buyback. You can see here earnings per share is just now touching some of the highest earnings per share in the last 10 years. And I will leave you to do the assumed or calculated earnings per share with our 2026 guidance, but now volume and size of Vestas matters also when you look at earnings per share. With that, I'll go to our long-term ambitions. They remain mostly unchanged. The only thing that has had a change is the ESG, simply because we will restate and we have restated what we are going to do on the ESG side, reflecting of that we bought Offshore activities back into Vestas, and we can see that is going to give us a different sum of CO2 and therefore, also how we address that in both our Scope 1, 2 and Scope 3. When we look at the revenue, still the same, ambitious to be the market leader and grow faster than the market. On the EBIT side, 10% EBIT margin. I will come back to that on the following slide, because on that chart, I think I feel very comfortable when you look at that chart compared to what we have also shared with you in the previous years, but we'll come back to that, as I said, on next slide. Return on capital employed, your ROCE, Jakob, but those 2 go well hand-in-hand and are easy to compare. Free cash flow positive. You've seen it. You've also seen it when we generate free cash flow. Business is good, predictable and with an increasing earnings, then, of course, free cash flow know their way back to the shareholders in what we just discussed in the previous slide. And last but not least, ESG, 50% reduction across our own operations and 45% Scope 3 reduction by 2030. Part of the Scope 3 is very much still the steel. And I think from some years ago, where everyone were really very optimistic about hydrogen and green steel, I think today, we see much more drive for the recycled steel that still has a 60% reduced input of greenhouse gas. So therefore, how do we do that? Some of it, we have the tools, some of it, we don't. But our biggest internally is still transport. So therefore, it's the Service vehicles, it's the vessels that we are looking into how we can do better with. But I really, really encourage you to also here deep dive into our ESG part. We are not a big fan of the CSRD directive, but we are a big fan of sustainability, and that I hope you will enjoy reading our annual report. This is an important one, and this has almost become a personal thing. So drive us to the long-term financial ambition of 10%. We have 10% firm in target. We are not saying a year, but we are having here the 4 factors. I think we can narrow it down to in main what we see. The Offshore, the ramp-up, the cost out and the extent of competitiveness of what we see is increasing, of course, when we add the volume to the platform. And therefore, Offshore is by far, in this bridge between the midpoint of our outlook, 7% to 10% is by far the biggest lever we have. On the quality side, you often see the quality side. And when you say the quality here is that we drive operational performance, lower warranty cost and reduce the cost of poor quality through close collaboration throughout the full value chain. So what you see as a heading of the warranty percentage of 3.2% for 2025, that's only part of the equation here. The related quality issues, that has also both been apparent in service, but also in the manufacturing, of course, is still a major contributor also how we can build a bridge to the 10%. Service goes without saying, we haven't observed anything that prevents the Service business from doing 25% EBIT margin. It's just not in '26, and it won't be in '27, because we won't jump from a midpoint of 16.5%. We came out of '25 just around 16.5%, and we will continue having that as a work assumption. And then we will see. We need to get it into starting with a 2 first, but there's nothing in here, in neither the model, neither the way we run the Service business, and neither in the way we look at it with the number of employees across the world that prevents us from getting to 25% EBIT margin. Then on the Onshore, after '25, it can actually be a bit difficult to sit here and saying, here it is, we can do much better. I think the Onshore has one lever really here is keep doing as good as we did in execution in '25 and keep building some more volume, then Onshore has another contributor into this, because don't forget, we wouldn't be at 5.5% if Onshore wasn't working as good it is, because we have been able to do that and back some of the negative variances we have had in the Offshore ramp and also from the Service that we have backfilled from the Onshore. So thank you for that. And therefore, people that are doing really well, it's funny enough, they seem always to be able to do a bit better. So that, of course, we will use in this margin bridge. If you add those 4 together, they come to by far more than 300 basis points. So therefore, for us to sit and have that in mind, it feels, in many ways, better. It feels doable. I will also say, when we sit here in beginning of '26, now it has a gap of 300 basis points. I think we probably also gained a bit of credibility compared to when we sat in 2022 and talked about it, because that was where the gap was, 1,800 basis points. But now I can say, with the first 1,500 basis points in the back, let's get the last 300 basis points done and then everyone can do your own planning and really progressing in the calculations, because that also means at that point in time, our EPS, ROCE and other things would look a lot different. And I can promise you, at that point in time, we will have less years than we have outstanding today. With that, I'll go to the outlook of the year and the outlook for 2026. Revenue, EUR 20 billion to EUR 22 billion. So that's another progress and another uplift in revenue. EBIT margin before special items, 6% to 8%. Service is expected to generate an EBIT margin before special items of 15.5% to 17.5%. And total investments sits around EUR 1.2 billion. This outlook is also based on the current foreign exchange rates, which we know is coming slightly more volatile in these days. Then 2 more little service message here. Some of you might observe over the coming day or 2 that I'll be selling some of the shares I have now bought and had since I joined as CEO in August '19. I paid a lot of tax of those, I even borrowed to pay the tax in Denmark, which is a tax rate of more than 60%. And therefore, I just want to repay some of that lending. I will have a lot more shares back than I'm selling. So therefore, don't worry. But it is to pay the tax in a strange country. So just as you know, have a question to that over the coming days. Then I will also say thank you. Thank you for everyone here supporting the journey that now we sit with end of '25. Thanks to also listening in. And please just here on the last page, I would just say, we have our Annual General Meeting on the 8th of April. I think it's a highlight. There is an opportunity to come in person and both meet the Board and the Executive Management and also, like previous years, have a bite to eat and also a drink on the way. Rest is our financial calendar, and I will just leave it, therefore, back to the moderator and open up for the Q&A.
Operator: [Operator Instructions] And the first question comes from Claus Almer from Nordea.
Claus Almer: A few questions. The first is the Service division. As you said in the presentation and the report that all these recovery initiatives will end by end of 2026. So maybe give some color on what is the margin drag in '26 and maybe some comments on what should we expect beyond 2026, except for your 25% margin target? That will be the first one.
Henrik Andersen: Thank you. I always love when you ask, Claus, for '27 guidance on the Service. So therefore, listen, we're going through diligently quarter-on-quarter. We're saying what we are doing. We're showing it. If you ask some of our customers, most of them will also say that they probably understand why we are doing and how we are doing it. And internally, there's no doubt. That I won't simply -- besides what we are saying here, in a recovery phase of what we are doing, we're making good progress, we can see it's working. And I'm very encouraged by seeing that what we are coming into, into the backlog is also getting addressed, whether that's renewables (sic) [ renewals ] or it's new, it's working. But giving outside what is here a range for '26, I don't want to do that. That we can talk about when we get longer into the year of how it's progressing and how it's working. I would prefer to do it like that, Claus.
Claus Almer: I didn't try to get a '27 guidance because I knew that was impossible. So I was a bit puzzled why the guidance for '26 is as it is. Why shouldn't we hope or expect a better margin in '26 versus '25? That was more the things I was trying to figure out.
Henrik Andersen: I don't know if you should hope or think or whatever. Claus, we hold the business in very tight ropes right now. And if you open the remuneration report, you will see that actually out of what went well in '25, EBIT and cash flow gave employees, investors an incentive payout where the 20% that relates to Service gave 0. And therefore, Service continues to be part of the incentive scheme for also 2026. And I think I can honestly say as a Chief Exec, unless we hit the numbers and the predictability of the business that also triggers an incentive payout for Service, then I'm not interested. I'm talking about more progress than that. So we are pushing, we're doing everything we can, and that's really where -- but we cannot let the recovery run ahead of what we feel we are addressing, and it does take time.
Claus Almer: That is fair. I think we all appreciate that, Henrik. Then my second question goes to your pipeline, and by the way, congratulations with the strong Q4 order intake. There's a lot of talk about data center and the data center build-out and that being powered by Onshore wind turbines. What do you see in your pipeline from that area? That would be my final question.
Henrik Andersen: Yes. No, I will say here. I think it's interesting because when pendulum swings in this world, everyone have now learned that you got to start thinking of what if the pendulums change next time. So I think that's what goes on right now. No one is single-handedly betting on either/or. So therefore, you see a lot of these data centers now being planned, built and also talked about that it should involve both gas and probably electricity from renewables as well. So there is a combination. Why is that? It is huge investments that has to be able to survive also changes in political arena and other stuff. And I think if we look across the world on a day-to-day basis, we see some of these offtakes being made. So that goes from the hyperscalers, the sort of the data center part, but it also comes from something as simple as in the U.S. that you have manufacturing that has been home shored to the U.S. that are also in the need for energy generation. So generally, across many societies, you have 3 drivers. Yes, you have the single-handed data centers, but you have the electrification. You now have more electric cars in the country we live in, Claus, that are electric than are diesel. So that's also a part of the electrification. And then secondly, and generally, the energy demand across all societies are increasing. So that, I think, wind is serving well. And we don't see any change to that.
Operator: Then the next question comes from John Kim from Deutsche Bank.
John-B Kim: Two questions, if I may. Can you just update us on operations in Offshore. I'm interested to see how Q4 compared to Q3 in terms of production throughput over time, or any issues around the blades. If you could comment on that, please?
Henrik Andersen: Yes. Thanks for that. I will say, John, here, there's nothing else than it works to plan. We are progressing. We are seeing that the takt time is developing. As I said, one of the most rewarding for me between Christmas and New Year was standing on Esbjerg Harbour and seeing that there was blades and nacelles waiting for a weather window to go out on the North Sea. So in reality there, we feel really good. And as I said, highlighted with the picture we have on the introduction to this presentation. We have more than 50 turbines out there. It's working both with -- works always better with grid connection, but let me throw that a little bit as a straw here. But outside that, it also works without grid, because then it has sort of its own generating electricity for the turbine. So no, we are really pleased with it, which is also part of what I referred to when we talk about capital structure. We feel confident of the ramp. We feel confident of the technology. We have been testing it for a long time, and it seems also like our customers are appreciating that we work diligently right from technology design, and we have a lot of our partners that are now bringing the projects in execution in '26 that we are also following and having with us in the factory. So really pleased with its progress. Always, you will never meet me, John, and not here that I probably would like to have been a bit further on, and that we are acutely reminding probably also our manufacturing colleagues on, but it is as much now also to get it at sea and get it installed.
John-B Kim: Okay. Helpful. A quick follow-up, if I may. Given the near-term outlook for Offshore, I believe you have more projects to execute this year than the last and the POC accounting treatment. Is it fair to say that the seasonality on Offshore is different to Onshore, perhaps a bit more balanced through the quarters?
Henrik Andersen: Yes, I will sort of say yes. And then at the same time, I think here, I think never leave the big principles of that '25 was the first year where we put the turbines out there, so it's working. '26 will be, for us, a bit of a year where we are not disappointing the partners we have, and we are ramping further up. We have all the factories open that we need right now. And therefore, it's all about getting the output in. And then that also means '26, we are not at the revenue we neither need to dilute that or the depreciation. So therefore, it's still with a red number in '26, but the progress, as you can see from our outlook, and therefore, we aim for a black number in '27. That's no surprise. That's how you should think about it sort of on the big years. And then as I said, on the quarters, let's talk a bit more about that when we probably sit together.
Operator: Then the next question comes from Alex Jones from Bank of America.
Alexander Jones: First, maybe on the buyback. If I take the profit you made for 2025 and use your new 40% payout ratio, then I think it implies around sort of EUR 300 million of shareholder returns and you've announced EUR 250 million today. So should we expect a further EUR 50-ish million later in the year? Or could you do much more than that such as continuing EUR 50 million per quarter run rate?
Jakob Wegge-Larsen: Thanks for the question. I think when you look at the buyback and return to shareholders, we should also look at what we did in Q4 and add that to your calculation. And then what we will do, as Henrik also presented, we will look at -- now with our new guidance in place, we will look at this quarter-by-quarter. When we deliver the result, we will make the decision on what we pay back also for '26. But '25, we are seeing actually that we are above the 40% if we take everything that we have done end of last year and what we are now announcing.
Alexander Jones: Okay. That's clear. And then maybe if I can just follow up on the earlier questions on Service. I suppose if I take out the one-off costs you had in Q4, then the 2025 margin was probably nearly 17.5%. Could you just talk about the midpoint, whether there are any particular drivers of why margins would be down year-on-year as a further one-offs like they were in Q4? Is there cost inflation or tariff impact? Is there a change in how you're treating the accounting? Or is it very much, as you outlined earlier, just conservatism given you're still only halfway through this turnaround?
Henrik Andersen: I think when you do a turnaround, the one thing you should never do is to stress the people that you are stressing a bit every day. So therefore, I don't think we need a stress on a percentage point here. And I keep coming back. We're doing the right thing, what is right for the business. If you then take 1% of, give and take, EUR 4 billion, it's EUR 40 million. When we see quarter-on-quarter, when we have either single projects and other stuff, that gives us either a challenge or an upside. Therefore, it is too easy to get out of sync with that. So therefore, there is -- with the entry to this year, we want to complete the recovery plan, and that gives us some stability just saying there's no stress for doing anything else than completing that and then continue with the results generation we see.
Operator: And the next question comes from Colin from RBC.
Colin Moody: Perhaps one on capital allocation. Clearly, a strong balance sheet and there's been an update. But digging down a bit deeper, could you maybe clarify what sort of areas you could potentially do M&A in? And then perhaps picking up on your comments that you have better transparency out to near the end of the decade. I think back to the 2021 CMD, and I appreciate it's a very different world, but the guidance then sort of implied that CapEx should sort of stabilize at a steady level kind of post V236 entry. Is that your view? Is that possible that it could potentially stabilize at a level not too much higher than this?
Henrik Andersen: I think here, first of all, if we both go back to the memory lane of 2021, I think we both learned the lesson. I think here what we sit with today is so progressed. I don't think we were wrong in the scale and the investment into Offshore. I think what we were definitely wrong in that the world gave us a bigger challenge on the execution and the profitability from the Onshore. That, of course, we can see works really well. And at the same time, we can also see we are over the top of what was needed to do in terms of technology design and also, to a very large extent, the ramp-up of the manufacturing. Now it's more back to Jakob's point about tools and other things that sits in the CapEx. So CapEx north of EUR 1 billion seems to be slightly elevated in this part of it. But at the same time, we can also see that even with a CapEx of EUR 1 billion or more, then the business is actually contributing really well on that. On the acquisition, we don't have anything planned. We are just saying here, acquisitions could very well be seen as part of also this equally as investing in the business. So I think we are just not shying away from it. If and when there is something, then, of course, we will also consider that. And if you took note of it end of last year, we actually acquired a factory in Poland on the Onshore, which made sense for us to expand the Onshore capacity of blades in Europe.
Colin Moody: Great. That's very clear. And maybe then just a question back to Service. So put that slide in the deck, Page 24, the net contract assets climbed EUR 300 million year-on-year, clearly better than last year's EUR 400 million on an underlying basis. I know you kind of commented Service is underneath, beneath, below your expectations for the year. But maybe just to clarify that specific point, was the contract asset development as expected? And just to confirm, do you still expect contract asset declines to begin in 2027?
Jakob Wegge-Larsen: So firstly, on your first question on whether it developed as we expected, and I can confirm that, that was in line with our modeling when we went into first quarter. So this is in line with expectations. As Henrik is saying, this is something, of course, that we work on. We are not starting guiding on net contract asset going forward. But of course, you can look at this as a future receivable to be invoiced and collected. Of course, we are very focused on getting that invoiced and getting that collected. So it's certainly something that we work on as part of our service recovery plan.
Operator: Then the next question comes from Kristian Tornoe from SEB.
Kristian Tornøe Johansen: Two questions from my side. So first one is on the current sentiment among your U.S. customers. So last year, you ramped up your production capacity in the U.S., but sort of listening to your key competitor in the U.S. Onshore business, they are not necessarily very up to speed on demand. So just maybe help us on how we should think about the risk of your capacity utilization and hence margins for your U.S. Onshore?
Henrik Andersen: I think, first of all, I will avoid comment on too many participants. It seems like we are pretty good in doing what we are doing globally in wind. And therefore, we believe that has a pretty bright future. And we don't need to try to sell anything else, because we don't have anything else to sell than what relates to wind Onshore or Offshore. We'll continue to do that. I think it works well. It works in more than 80 countries, and it also works in the U.S. And I think, especially in the countries we are debating here on the Onshore side, the levelized cost of energy is fairly attractive. The time to energy, very attractive compared to any other alternative energy sourcing. So therefore, Kristian, I don't hear anything else of doing that. When you then sit with it, it is also beyond any doubt that when you have a business environment where it does have some volatility and sort of variances to it, some days even within the days or some days within the weeks and some days within the month, but I think here, the clearance of some of the tariff parts and other stuff will be very helpful of part of the conditional part. And then at the same time, we sit with something that is an FOI that is more than 30 gigawatt in the backlog plus/minus. It's the historic high one, and you will see on our deliveries that also from the annual report, you can see that deliveries have actually grown to a tune also in the U.S. And don't forget, we have factories there that works really well now. So I'm pleased with it. So I'm not going to -- I don't talk it down, and I won't talk things down when you can see that when we look just into this year, we have a double-digit percentage growth from wind. And at the same time, we have a much bigger growth when it comes to EBIT in terms of absolute euro value. So it works. And of course, we keep reinvesting in the Offshore that will start paying off in '27.
Kristian Tornøe Johansen: Understood. And then my second question is actually on Offshore. You said it just before that you expect that to be profitable in '27. I'm just a bit curious sort of looking towards the end of the decade and especially in the light of the outcome of the AR7. So assuming all those projects are actually built, are you comfortable that you have visibility for sort of continued growth for your Offshore business towards the end of the decade?
Henrik Andersen: I'm smiling, because now I've been an ambassador for Offshore wind, and I probably at some point in time, almost felt I was the only one that believed in it. But here it is to now see that auction now start working, that raises the question critically of if we then now can deliver. I mean, come on, we have built capacity in Europe for a decade, whether it comes to Onshore or Offshore that will supersede what is actually going on. And if you take that, AR7 gave 8 gigawatt, that's spread over several years, several good customer partners, potential projects in there. But then pause for a second. We've just opened last year a nacelle in Poland. We have expanded blade facilities across Europe. So therefore, we are more than ready for that. I still sit with another one, which is hope this time is the round where we all learn from the same auction conditions. So we actually get a real tangible -- if it's scheduled to be built in this year, it gets built in this year, and it doesn't always move to the right. So the scale-up of Onshore, I should give everyone on this call a good sense of that the industry is ready to scale if it has the 1, 2 years lead, and therefore, it's not a problem with the capacity, not a problem.
Operator: The next question comes from Ajay Patel from Goldman Sachs.
Ajay Patel: Look, I think when I look at what you presented, the opportunity is clear, right? Even if you deliver similar revenues in the future and your margin targets, you double the EBIT that you achieved in '25. I think a number of questions I get is around the visibility. Now I think if we think about the course of this year, what elements will derisk or become more visible to you, i.e., will we have a much clearer picture of the Offshore ramp and therefore, the recovery of the profitability of that business by year-end? On Service, will you have executed on the more closer and more easier wins that we then have a better visibility of margin recovery from '27 onwards? And then I think my second question would be, from my utility perspective, we're hearing increasingly about the opportunities around repowering in the U.S. Is that something where you're seeing increasing activity in terms of just inward bound conversation? And you mentioned operational leverage on the Onshore side. Is there any sense you can give us what an incremental gigawatt adds in terms of operational leverage, so we can kind of get a sense for what maybe the margin opportunity is in that part, given that Onshore is doing so well over '25?
Henrik Andersen: Thanks, Ajay. I will just sort of say, first of all, thanks for your initial reflection over where we are and how far we have come. And I sit with exactly the same 10-year EBITDA and EBIT development as well. I think you can read a lot into how we are presenting the combined debt today, because if you take and reflect over also our comments on capital structure, we would not readdress the capital structure in a time where we didn't have the visibility. So maybe conclude and take a bit away from the capital structure and that visibility. Jakob's comments on, we like doing repeatedly share buybacks is also a good hint of we are not finished with that. We are just now showing you how we want to think about it quarter-on-quarter of capital redistribution back to our shareholders. That we wouldn't have done if we didn't feel we had Offshore visibility. And if you then take the guidance '26 versus '25, as Service is plus/minus in round terms, more or less the same, then you can probably assume that a lot of the progress is happening from both top line on Offshore, but therefore, also the progress of what we are seeing in our ramping on Offshore and what is sitting still as a bit of remainder on some of the Onshore U.S. So that you can take as a progress just seeing between 5, 7 and to the new guidance range. I hope you will appreciate, I'm not going to comment specifically on Offshore individual projects or an individual market, because how the world has developed is we either sit here and comment on a competitive situation that typically only have one other player. And therefore, on these calls, I know they are listening in as eagerly as I'm speaking. So therefore, that I would rather keep to another day. On the repowering, yes, please. So U.S., yes, please. And that also means as we have that many gigawatts over there, and it was also one of the first place 20 years ago, 15, 20 years old turbines in the U.S., yes, please. You can replace 3 with and 1 have even much more electricity out of it. So it's ongoing. It's happening. It's only now a matter of how quickly can you get the permitting, because the capital is there to get it done.
Ajay Patel: Just, sorry, on the operational leverage, is there any sense you can give us on that side?
Henrik Andersen: No, thank you. But it's positive.
Ajay Patel: You can't blame me for trying.
Henrik Andersen: No, I put you immediately in the same category as Claus Almer.
Operator: Then the next question comes from Martin Wilkie from Citi.
Martin Wilkie: It's Martin from Citi. Just come back to the Offshore progress. If we look at your guidance for 2026. And obviously, given the Service guidance, the Power Solutions profitability is probably a bit higher than perhaps was embedded in consensus. You had talked in the past about having a triple-digit million drag from the Offshore ramp-up in '25, and that, that would largely sort of reverse going into 2026. Just any comments around that. Is that sort of developing better than expected? And you've talked in the past about improving takt time, these kind of things to effectively pick up that level of profitability. Just to understand if Offshore is actually running a little bit ahead of where you thought, say, last quarter, or if that's just sort of in line with the plan that you already had in place?
Henrik Andersen: So I know some of our internal colleagues are also listening into these calls. I will say absolutely not. So they are not ahead of plan. So therefore, the Offshore ramp is probably right now on what I will say on the plan we have agreed to. But I think here, we can still improve and we can still do better. And when we look at the Offshore ramp, what we are getting out in '26 is not the full thing we need to get out. So therefore, when we imply that, it's not only a volume game for '27, it's also a cost and a ramp-out cost in '27. So Martin, this will lead -- so therefore, what you're seeing in the guidance and outlook for '26 is what I will call a first stage of what comes out of an improvement in the Offshore ramp, but we are not done with it at all.
Martin Wilkie: And if I could just come back to Service. I know you don't want to give huge amounts of detail, but obviously, it's a huge question for people today. I guess under the sort of accounting that you use in Service, we've used the example in the past that the best predictor of the next period margin is the current period margin just because of this overtime accounting. And given the range that you've given for '26, there is going to be some influence of how we think about the exit rates. But I guess the thing that would stop that happening is if there were particular contracts that were falling away this year or other one-offs. I mean is there anything that you can give us to sort of help us think about what those impacts are inside '26?
Henrik Andersen: I think -- we won't give you a drill down of that. You can see some of it is. And as I said, one of the things that probably still annoys me a bit in the commercial reset, which we have also seen is that when you do the commercial reset, this is not only about talking to customers, it's also about disciplining ourselves, because some of these back-end loaded or whatever loaded in 10, 20 or 30 years contract where you have let yourself to believe that it was a different payment profile or whatever, that doesn't work. And I think some of that, of course, relates to the net contract assets. So therefore, for us, as you know, when you have 11 years portfolio, really encouraged by what we are doing to restore the whole backlog of contracts. Some of them we have up, some of them gets in there either as renewed or untimely discussed with customers as part of new order intake. And that, of course, will overall improve, I call it, the wealth and the health of the backlog. But at the same time, it also still means that a number will come out every year, Martin. And that, of course, gives us a little bit right now, let's come through the quarters. I know what you're asking for everyone, and you want to know what the outcome is when the recovery is over, but we just have to go through this. And this is painful because, yes, you find still some of the examples where you said we'd rather not have them, but then we deal with them. And that, of course, influence your average profitability of a business like this. There's nothing in the business that is not looking as a sound and a good business when we look ahead outside the recovery period. But it's not going to jump from 16.5% to 25%. It will be measured, it will be controlled. And for me, it's also about seeing that people stick to the discipline of what we have experienced and initiated in the business.
Operator: And the next question, today's last question, now comes from Max Yates from Morgan Stanley.
Max Yates: Just quite a quick one. Just when we get the auctions and the turbine orders for the AR7 Offshore wind projects, do you expect any of the Chinese players to participate in that to win orders? And I'm asking in the context of, obviously, we've seen kind of the U.K. Prime Minister has been in China quite recently. And I was just wondering kind of when you speak to people in the industry and in the U.K., what is the willingness to kind of leverage the Chinese supply chain in some of those projects?
Henrik Andersen: You're asking again a little bit outside what I -- first of all, I was not part of the delegation in China, and therefore, I don't know what the agreement was. I know what we are talking to U.K. government about. I know what we are talking to a head of State of the energy in there, Ed Miliband. I don't think that sort of leans towards that. I also think there is a lot going on if you revert to not only the annual report, but also to the slide I'm saying in here, the narrative starts working more seriously in a world that seems to be a bit more aware of what geopolitical uncertainty means. And I think energy is getting higher and higher prioritized in terms of energy independence and how you control your energy supply, not least to say also how you distribute it. And the access to grid is a difficult one, let's put it that way. So therefore, I think that is a question mark. I've learned to say these days, never be surprised. But in this case, I would actually be surprised if somebody took that measure in the current environment.
Max Yates: Okay. Interesting.
Henrik Andersen: I know this is -- we look forward to see you, many of you, over the coming days, both here in Copenhagen and also in London tomorrow. Again, thank you for your enormous support, especially shareholders that are on the call over the last years. This was the year of evidence. And yes, some of us really feel proud of returning some value back to you and saying proper thank you. So therefore, look forward to see you over the next coming days. Thanks and good 2026 ahead. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect. Thank you for joining, and have a pleasant day. Goodbye.